Operator: Good day and welcome to the CNA Financial Corporation Fourth Quarter 2015 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. James Anderson. Please go ahead.
James Anderson: Thank you, Katie. Good morning and welcome to CNA's discussion of our 2015 fourth quarter financial results. By now hopefully all of you have seen our earnings release, financial supplement and presentation slides. If not, you may access these documents on our website, www.cna.com. With us on this morning's call are Tom Motamed, our Chairman and Chief Executive Officer, and Craig Mense, our Chief Financial Officer. Following Tom and Craig's remarks about our quarterly results, we will open it up for your questions. Before turning it over to Tom, I would like to advise everyone that during this call there may be forward-looking statements made in references to non-GAAP financial measures any forward looking statements involve risk and uncertainties that may cause actual results to differ materially from the statements made during the call. Information concerning those risks is contained in the earnings release and in CNA’s most recent 10K and 10Q on file with SEC. In addition, the forward-looking statements speak only as of today, Monday, February 8, 2016. CNA expressly disclaims any obligation to update or revise any forward-looking statements made during this call. Regarding non-GAAP measures, reconciliations to the most comparable GAAP measures have been provided for in the financial supplement. This call is being recorded and webcast. During the next week the call may be accessed on CNA's Web site. With that, I will turn the call over to CNA's Chairman and CEO, Tom Motamed.
Tom Motamed: Thanks you, James. Good morning everyone and thank you for joining us today. In the fourth quarter, CNA reported a net operating loss $52 million, which was significantly affected by a reserve charge in our long term care run-off business as well as in investment accounting change. Excluding these two items, net operating income was $171 million. For the full year, CNA produced net operating income of $515 million compared with $849 million in 2014. The decrease was driven by lower investment income, primarily in our limited partnership investments and the fourth quarter long-term care charge I previously mentioned. Our capital position remains very strong and Property & Casualty income continues to be stable. As a result, we are pleased to announce a $2 per share special dividend this quarter. This is the third year in a row that we have declared a special dividend for our shareholders. This is in addition to our regular quarterly dividend of $0.25 per share. Our Property & Casualty underwriting results continue to show meaningful improvement. Our full year combined ratio of 95.4 was a 2.3 point improvement compared with the 2014 result. The underlying loss ratio improved 1 point. This marks the fifth year in a row of underlying lost ratio improvement. The expense ratio increased 1.3 points. Craig will say more about this shortly. Our combined ratio for the fourth quarter was 98.9. The quarter saw increased activity in natural catastrophes in our international business. Specialty had another strong year in a challenging market. The combined ratio of 88.7 is slightly higher than the prior year. Specialty’s combined ratio, excluding catastrophes and development was 93.6 for the year. The fourth quarter combined ratio of 95 was affected by a heightened level of loss activity primarily in the public management liability and healthcare arena. Specialty’s combined ratio excluding catastrophes and development was 95.4. Net written premiums grew 2% in the quarter. Rates were essentially flat, while retention improved to 87%. Turning to Commercial, we continue to make solid progress on underwriting profitability. Our full year combined ratio of 101.5 reflects an 8 point improvement compared with 2014. The underlying loss ratio improved 3 points. Additionally, the year benefited from a modest amount of favorable loss development as compared with unfavorable development in 2014. The combined ratio, excluding catastrophes and development of 98%, was an improvement of 0.6 points. In the fourth quarter, commercial had a combined ratio of 99.6%. The underlying loss ratio was almost 4 points lower than the prior year quarter. Excluding catastrophes and development, the combined ratio was 98.3. Net written premiums grew 2%, rates increased 1% and retention improved to 84%. International produced a combined ratio of 97.6 as compared with 92.4 in 2014. The combination of higher catastrophe losses, large loss activity, and less favorable developments than in the prior year, resulted in the decline. Excluding catastrophes and development, the combined ratio was 99.8 compared with 99.2 in 2014. For the fourth quarter, international had a combined ratio of 110, which included 10.7 points of catastrophe losses, driven by three significant storms in the UK. The combined ratio, excluding catastrophes and development was 103.1. Net written premiums declined 1%. However, premiums grew 8% excluding foreign currency fluctuations. Rates decreased 1% and retention was 73%. With that, I will turn it over to Craig.
Craig Mense: Thanks Tom. Good morning everyone. Given the number of moving pieces in this quarter’s results, I wanted to spend some time to provide you with more insight into those significant items, a Long Term Care unlocking charge, investment income and our expense ratio. Let’s start with Long Term Care. The Life & Group segment reported net operating loss of $243 million, which reflects the result of the Long Term Care claim and active life reserve reviews. Our claim reserve reviews showed actual claim severity, the combination of claim duration and benefit utilization to be favorable to our prior assumptions. However, we strengthened the frequency component of the IBNR claim reserve to better match the incident rate assumptions that were an outcome of the active life reserve reviewed. This translated to a $9 million increase in claim reserves. Now let’s move to the active life reserve review. Page 14 of our earnings presentation shows the result of our annual gross premium valuation analysis. As you can see from the exhibit, increased morbidity was the driver of the approximate $400 million change in our reserve estimates. This was driven primarily by increased claim frequency assumptions, consistent with the experienced trend we have observed over a number of recent quarters. Our discount rate, persistency and premium rate increase assumptions did not change significantly and largely offset one another. After taking into account the $100 million margin, at December 31, 2014, the indicated deficiency resulted in a $300 million pretax charge to earnings and a corresponding increase to net GAAP reserves. As a result of recognizing the deficiency, we unlocked our reserve assumptions, which were previously locked-in at the time the policies were first written. Our carried active life reserves are now based on our current best estimate assumptions with no margin. Future periodic income for long-term care will reflect any variance between actual experience and the reset assumptions contemplated in our best estimate reserves. While there will undoubtedly be variability in our future periodic results, our reset assumptions should theoretically produce a breakeven underwriting result. While we’re required to recognize the premium deficiency for GAAP reporting, there was no indicated premium deficiency on a statutory basis. We view the GAAP unlocking as an earnings not a capital event, which coupled with our P&C earnings strengths contributed to our Board of Directors’ decision to declare the special dividend this quarter. I also want to remind you of our ongoing efforts to continuously improve our management of the Long Term Care business. We have a number of specific initiatives and actions that have recently been completed, and others that we can continue to execute upon. These efforts demonstrate our commitment to managing the risks to the business while improving the standard of policyholder service. Slide 15, provides you with a snapshot of some of these strategic initiatives, including the recent closing of the Group long term care block to new entrance, the build-out of our new claim and policyholder administration operation centered on an in-house claim team supported by a new vendor, and significant investments in data analytics and talent. Now, let’s turn to investments. Net investment income for the quarter was $428 million, down $83 million from the prior year quarter. The decrease was driven by lower income from limited partnership investments, which returned just under 1% this quarter as compared with 2.2% in the prior year quarter. For the full year, limited partnership investments returned 3% as compared with just under 10% return in the prior year. These investments continue to perform as we would expect. And overtime, they have provided diversification to the overall portfolio with less volatility and higher risk adjusted returns and equities. An addition driver of the net investment income decreased as compared with prior periods, related to the fixed maturity securities portion of the portfolio, where an accounting change to better reflect the yield on security with call provisions, resulted in an approximate $39 million reduction in pretax income in the period. Going forward, we would expect this change to reduce quarterly pretax investment income by a few million dollars compared with our previous run rate. Our fourth quarter P&C expense ratio increased just under 4-points compared with the prior year quarter to 35.8%. There are number of components driving this unfavorable comparison. You may remember that 2014’s fourth quarter was helped by some favorable recoveries that reduced our expense ratio by 1.5 points. Inversely, in the fourth quarter of 2015, an increase in loss base assessment fees related to our prior Defense Based Act workers' compensation program along with higher contingent commissions as a result of lower loss ratios in property and casualty, added over 1 point to our expense ratio this quarter. Increased technology and other underwriting investment spend in addition to lower earned premium account for the remainder of the difference. We believe our full year expense ratio of just over 34% is more representative of our current run rate. Now let’s look at addition key financial measures. Our investment portfolio’s net unrealized gains stood at $2.3 billion at quarter end, an approximate $300 million decrease from the end of the third quarter due to increased yields. At December 31st, shareholders equity was $11.8 billion and book value per share was $43.49. Excluding accumulated other comprehensive income book value per share was $44.66, an increase of 4% from year end 2014, adjusted for dividends. Statutory surplus at December 31st was an estimated $10.7 billion for the combined insurance operating companies and we continue to maintain more than adequate dividend capacity. Cash and short term investments at the holding company were $482 million at year-end. We continue to target cash at the holding company equal to approximately 1 year of our annual net corporate obligations. In the fourth quarter, operating cash flow was $342 million. Cash principal repayments through pay-down, bond calls and maturities were approximately $1 billion. Fixed income assets that support our long duration Life & Group liabilities had an effective duration of 9.6 years at year end. This duration has drifted slightly lower during the year, as a result of declining market yields which affect the duration of callable bond in our municipal bond portfolio. Effective duration of the fixed income assets that support our traditional P&C liabilities was 4.3 years at year end. We continue to manage the assets to match the characteristics of the underlying liabilities. The portfolio durations remain in line with the portfolio targets. We continue to maintain a very conservative capital structure. All our capital adequacy and credit metrics are well above our internal targets and current rating. As I said earlier, this sustained capital strength was a significant factor in the Board’s decision to declare the $2 per share special dividend and $0.25 per share quarterly common shareholder dividend. With that, I will turn it back to Tom.
Tom Motamed: Thank you, Craig. Before we take your questions, I would like to make several closing comments. Once again, we are pleased to return excess capital to our shareholders. This is the third consecutive year of the special dividend. The combined ratio in our Property Casualty business of 95.4 in 2015 is the lowest that has been in five years. Specialty continues to be a profitable and resilient business in a challenging environment. Commercial continues to show improvement in the underlying loss ratio. Commercial retention showed considerable improvement, reflecting less churn in our existing portfolio due to underwriting actions. Finally, we continue to invest in people, technology, process and tools for the future. With that, we will take your questions.
Operator: Thank you [Operator Instructions]. We’ll take our first question from Josh Shanker with Deutsche Bank.
Josh Shanker: I wanted to talk a little bit about the Long Term Care charge. To what extent was the charge the result of changing assumptions and to what extent was it the result of the new methodology or new process that you have in place?
Craig Mense: Josh it was 100% due to changing assumptions and had to nothing to do with changing methodologies or the new reserving processes we put in place.
Josh Shanker: So what did the new processes tell you? What did you learn?
Craig Mense: What did we learned, I think if you’re referring to the processes or the assumption changes. The assumption changes were driven by morbidity, really claim frequency increase, which is something that we’ve been mentioning and reporting on that we really noticed over the last five quarters. So the real driver of the reserve charge was a change to our assumption about claim frequency, which effected morbidity outcomes.
Josh Shanker: But there was nothing incremental to learn out of the new granular approach?
Craig Mense: Yes, I think we have better -- it did enable us and was helpful in determining what those assumptions were and we’ve been -- because we have much more granular information really moved to away from what had been a dependence on industry and historical factors and some statutory or actuarial studies about morbidity as well as mortality and able to be much more dependent upon our own results and the trends we saw in our own results. So that’s what gave us the confidence to change, as well as gives us the confidence going forward that we’ve appropriate accounted for what we’d expect the results to be.
Josh Shanker: And in terms of your recommendation and the Board's decision on the $2 per share special dividend, what impact did the Long Term Care charge have on those discussions? And could it have been a bigger special had the charge not occurred? Or it really was not an important part of the discussion? 
Craig Mense: I would say that it’s -- the more accurate reflection, it was not an important part of the discussion and I think we’ve said in prior and what I would suggest going forward is that we have more than adequate capital and strength in the balance sheet and that earnings going forward is what we even look at as being available for dividend, if we didn’t have a better use for them. Essentially, we dividended more this year than almost 150% of earnings of earnings. So the reserve charge really has essentially been accounted for in the excess capital that we had accumulated over time, so therefore it became something we could exclude from our thinking and just think about the earnings excluding that reserve charge when we talk to the Board about special dividend.
Josh Shanker: And final question, when thinking about that gap between your Property & Casualty combined ratios and best-in-class peers, it looks like the industry is having some tough pricing issues right now. And I expect, and I hope, that CNA will narrow the gap between itself and the best-in-class peers. Does that mean going forward -- do you think that there is a lot of room to improve your combined ratio or that gap will be narrowed as the pricing environment takes its toll on peers' very excellent margins? Where do you think the trend is in CNA relative to peers and where will that gap go?
Craig Mense: I think I’ll answer it in a couple of ways, Josh. One, if you look at the accident year loss ratios and you look at the information that we’ve shown you in the earnings presentation slides, you can see that we have consistently improved the accident year underwriting and I’d say that if you look at our very best peers, we’re still on all-in basis in our Property & Casualty total. We have narrowed the gap to probably 2 or 3 points on the loss ratio component. We actually think we’ve closed, almost completely the gap into most of our other peers, better peers on the loss ratio side. We do think that despite the ongoing, really the softening of the market relative to rates, and so we will see some margin pressure coming from turn rate and written being slightly less than trend. But remember, we are still improving our execution, improving our risk selection, improving our pricing differentiation and we expect -- and improving really our portfolio composition as we move away from poor performing business, to business where we have more confidence. So all those -- we think all of those factors will enable us to continue to show some modest level of improvement in the loss ratio over the course of 2016. On the expense side, because we -- and you know that we’ve said before we’ve been focused on improving our underwriting capability as measured by loss ratio and loss ratio competitiveness and we’ve been making, trying to be mindful of the long-term gain and making important investments in technology and other underwriting capabilities, which just meant that we now have probably another 2 or 3 point difference in the expense ratio to peers. I wouldn’t expect -- we do think that we can maintain the expense ratio where it is and as I pointed you all to looking really at the full year expense ratio, it's more representative, we think we can maintain it, that there and don’t have any current intentions of doing anything or plan to be able to reduce that margin. And we will need to turn to that at some point in time but we are not -- no near-term plans to do that.
Josh Shanker: And one more question if I can, typically there is not so many questions on these calls, so I will take some liberty. Before Dino comes to work for CNA, are there any risks or issues precluding ACE and Chubb employees looking for a new home from coming to CNA?
Tom Motamed: This is Tom. There probably are some restrictions on certain people at Chubb relative to what level they were in the organization. But that’s between them and the new Chubb, that has nothing to do with us. So, I think that’s really the short answer.
Operator: We’ll take our next question from Jay Cohen with Bank of America.
Jay Cohen: Thanks, a couple of question. First is the higher contingent commissions. Given the higher level of profitability you have been able to achieve, is that something that will continue going forward or was there some sort of catch-up in the fourth quarter?
Craig Mense: That was more of a catch up effect in the fourth quarter Jay and then go forward expense issue.
Jay Cohen: Got it. And then you had, I guess in the press release talked about in the call healthcare reserves adding to those from prior years, maybe it was current year. But we have had one other company talk about med mal or healthcare in general being an issue. Can you talk about what has happened there from a claim standpoint, what gave rise to that strengthening?
Craig Mense: So I think it's something, this is Craig, Jay, that we really started noticing back in 2011 that medical severities have been up across our healthcare book. So whether that was hospitals or nursing homes or nurses or dentists, caused by just an increasing really just, the outcome, claim severity outcome. And I think what we’ve also mentioned that over particularly the last couple of years maybe heightened sensitivity to what we thought a lot of people chasing, making it a more competitive market and to certain degree chasing yesterday’s returns in that. So healthcare has also been affected by rate declines or competitive pressures over that time. But as to the losses it's really medical severity and it's pretty much across the -- has been across the book of business, and we think we’ve reacted appropriate to it in terms of our underwriting posture as well as how we’ve set current loss ratios and reserves.
Jay Cohen: Got it. And then lastly, you had talked about some large loss activity, I think it was certainly in the international side, maybe in specialty as well. Is that something you can quantify? In other words, the type of large loss activity you saw this quarter relative to what you would normally expect to see?
Craig Mense: Well, it was -- I don’t know if I can quantify it for you. Well, I can quantify it in terms of what the impact was on the specialty loss ratio. So, we had seen a heightened level of losses in the public D&O book, and as we said in our healthcare book. So it going to by definition, losses in public D&O were large, so we just keep seeing increase of really frequency of large losses across our D&O and the other. So, that caused us to both add to prior year reserves and specialty. Now those were offset by other good news, so we didn’t have any adverse development, especially. But it did caused us to increase the full year specialty loss ratio by just a little less than 0.5 point. And then that is reflected in, as you understand, when you do a re-estimation fourth quarter, do fourth quarters of catch up, so it elevated the specialty loss ratio this quarter by little over 1.5 points.
Operator: We’ll take our next question from Jeff Schmidt with William Blair.
Jeff Schmidt: A question about the limited partnership investments. It sounds like maybe 65% or 70% are in hedge funds. Is that -- pretty much all of that mark-to-market immediately? I am trying to get a sense on how much of the total portfolio has a lag in the mark-to-market.
Craig Mense: You’re correct and it's about 70% of that limited partnership portfolio, are hedge funds, and it's about the same amount that is current mark-to-market.
Jeff Schmidt: And is the remaining amount more -- is it basically private equity funds?
Craig Mense: Its private equity and some real estate.
Jeff Schmidt: And in there may be a lag there?
Craig Mense: There is a -- the longest lag you would see is three months and that’s only about 15% of that portfolio, the other is just a month lag. But I think you should -- I would encourage you to view those LB [ph] results, as very much a market impact timing.
Jeff Schmidt: That’s helpful and could you maybe discuss some of the loss trends in some of your key lines like workers' comp and professional liability? 
Tom Motamed: Could you speak up, we couldn’t hear that question?
Jeff Schmidt: Could you discuss some of the loss trends in some of your key lines like workers' comp and professional liability?
Tom Motamed: Workers' comp I think the loss trends are improving, it's getting better. And if we look at pricing, we’ve had the benefit of some good rate increases in workers’ comp over the past few years. It's slightly negative on the rate side, but loss trends are improving. Part of that is also due to the mix. We’re writing more white-collar work comp and getting out of the industrial or blue collar typical work comp, which tends to have more catastrophic claims. So, yes, moving in the right direction in work comp. What was the other line you asked about?
Jeff Schmidt: Professional liability?
Tom Motamed: As Craig mentioned, public D&O, you right pretty big limits and many of these losses follow limit. So, we just had a situation that we had a couple of them in the fourth quarter, that’s the nature of that business, it's lumpy, but I would not say it’s a trend that’s really effecting the whole portfolio.
Operator: We'll take our next question from Ron Bobman with Capital Returns.
Ron Bobman: I had a question -- Craig, you mentioned briefly in some of the LTC actions, something to the effect that limiting or stopping the addition of new lives or new accounts moving into the closed block. And I didn't understand what you meant by that, if I am close to sort of repeating what you said.
Craig Mense: Yes you are, what I said and hopefully is not more confusing, we closed the group business to new customer, meaning sponsoring company entrance a long time ago, but we have allowed new employees of the existing groups to continue to buy coverage. So that meant that the number of lives in the group businesses is remained relatively stable over the last 10 years. So the action that we've taken over the last year is to really go back through all of those group sponsors and as effective February 1st of this year, we've closed that book to any new entrants. So then our -- that book just kind of naturally declined over time. So if you're new employee of one our sponsoring organizations you can no longer buy group Long Term Care.
Ron Bobman: Got you, okay, thanks. And so then is it sort of safe to assume that you are writing no new Long Term Care group or individual?
Craig Mense: That's correct.
Operator: [Operator Instructions] We'll take our next question from Bob Glasspiegel with Janney.
Bob Glasspiegel: Statutory earnings for 2015 and likely dividend capabilities for 2016?
Craig Mense: Statuary earnings were little north of 1 billion, so 1.1 billion. So dividend capacity would be approximately 10% would be that or 10% of stat surplus which is let's say 10.7 billion. And then you understand the calculation is kind of a running calculation, less whatever amount of dividend you've made over the prior 12 months.
Bob Glasspiegel: Right. Given that your overall risks seem to be shrinking in 2016, there is no reason why you wouldn't have the capability to take that if you wanted to. Is that a valid assumption?
Craig Mense: That's correct and then I think you should think of it, our dividend capacity is over the course of the whole 12 months as being roughly equal to that earnings or 10% of surplus.
Bob Glasspiegel: Right. Your partnerships didn't return quite as much as I had modeled in light of where the markets were. Were there any impairments notably that held back real estate maybe or --?
Craig Mense: No, not at all Bob, so there are no impairments or nothing unusual in the partnership, that’s just to reflecting of the market. And remember that the way we’ve constructed that portfolio is to give us, what we presume to be or intend to be better returns, but less volatile returns than what you see in the S&P, so when you have a big spike up in S&P we get immediate response, but if you look at over the course of the full year our LT [ph] returns were 3% which is twice what the S&P 500 index would have performed. So it just reflection of the responsiveness and immediacy of the ration to S&P. We're not -- remember that we have a bit of long equity bias but it's not just a long equity portfolio.
Bob Glasspiegel: And just the choppiness of the last -- I asked Loews this question as well, but the choppiness of the first quarter, does that make you want to increase your commitments, decrease or you are just staying the course in a very choppy market than change how you think about things?
Craig Mense: Well, I think actually if you -- that's a good question, and if you -- once you dig into our published material you'll notice that we've actually taken money off the table and the LPs reacted given our outlook for the market. It reduced our -- we reduced our allocation, so that asset class and likely to continue perhaps reduced it further as we're going to forward.
Bob Glasspiegel: So the weakness -- got you.
Craig Mense: No I think we, so --.
Bob Glasspiegel: No, I meant this quarter, no, no that was a great sale before.
Craig Mense: Thank you.
Bob Glasspiegel: Appreciate the answers. Thank you.
Operator: At this time, there are no additional questions in the queue. I would like to turn it back to over to management for any additional or closing remarks.
Tom Motamed: Thank you very much. See you next quarter.